Operator: We now have our speakers in conference. Please be aware that each of your lines is in listen-only mode. At the conclusion of today’s presentation we will open the floor for questions. At that time instructions will be given if you like to ask the question. I’ll now like to turn the conference over to Richard Cribbs. Sir, please begin.
Richard Cribbs: Thank you Katie. Good morning, welcome to our fourth quarter conference call. Joining me on the call this morning are David Parker and Joey Hogan along with various members of our management team. This conference call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those contemplated by the forward-looking statements. Please review our disclosures and filings with the SEC, including without limitations the Risk Factor section in our most recent Form 10-K and Form 10-Q. We undertake no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. As a reminder, a copy of our prepared comments and additional financial information is available on our Web site at ctgcompanies.com under our Investor Relations tab. Our prepared comments will be brief and then we will open up the call for questions. In summary, the key highlights of the quarter were; our asset base divisions revenue, excluding fuel increased 17.5% to $151.4 million due to a 25% increase in average freight revenue per truck and an increase in our refrigerated intermodal freight revenues, partially offset by a 3% decrease in average tractors. Versus the year-ago period, average freight revenue per total mile was up $0.191 per mile or 12.2%, and our miles per truck were up 7.4%. Freight revenue per tractor at our Covenant Transport subsidiary was up 26.2% over the prior year quarter, while our refrigerated subsidiary, SRT experienced an increase of 11.6% and our Star Transportation subsidiary experienced an increase of 2.2%. Compared to the year ago period the asset base divisions operating cost per mile net of surcharge revenue were up approximately $0.309 per mile mainly due to higher employee wages, group health insurance, workers comp insurance and casualty insurance. These increases were partially offset by lower net fuel cost and reduced the maintenance and capital costs. The asset-based operating ratio was 85.2% in the fourth quarter of 2014 compared with 93.6% in the fourth quarter of 2013. Our Solutions logistics subsidiary increased revenue by 83%. Although we experienced slightly unfavorable increased purchase transportation expense percentage, other operating expenses decreased as a percentage of revenue providing for operating ratio improvement of 490 basis points to an OR of 89.1% from 94% in the year-ago quarter. Additionally, our minority investment in Transport Enterprise Leasing contributed $1.2 million to pretax earnings or approximately $0.04 per share. Since December 31, 2013, total indebtedness, net of cash and including the present value of off-balance sheet lease obligations has decreased by approximately $78 million to $272 million. The average age of our tractor fleet continues to be very young at 1.6 years as of the end of the quarter, down from 1.9 years a year ago. With available borrowing capacity of $60.7 million under our revolving credit facility, we do not expect to be required to test our fixed charge covenant in the foreseeable future. The main positives in the fourth quarter were a significant improvement in the operating profitability at each of our three asset based trucking subsidiaries; two, a 12.2% increase in average freight revenue per total mile and a 7.4% increase in average miles per truck versus the same quarter of 2013; three, a sequential increase in our professional driver employee headcount; four, significant operating profit improvement at our solutions brokerage subsidiary; five, a successful secondary equity offerings; and six a decrease in our total indebtedness. The main negative in the quarter was increased operating cost on a per mile basis. Among asset-based service offerings, since the end of the third quarter, we increased capacity allocated to each of our three subsidiaries; Covenant Transport, Star Transportation and Southern Refrigerated Transport. Our fleet experienced growth to 2,665 trucks at the end of December, a 66 truck increase from our reported fleet size of 2,599 trucks at the end of September. Our fleet of team driven trucks averaged 912 teams in the fourth quarter of 2014, a 7.2% sequential increase over 851 teams in the third quarter of 2014. Therefore, we increased our overall driver count by approximately 127 drivers during the fourth quarter of 2014. Freight yield results for the first three weeks of January 2015 continued to outpace our prior year results as there continues to be tight capacity in our primary freight markets and our percentage of team driven trucks has continued to grow thus far. To clarify a couple of our comments in the outlook section of our earnings release we expect 2015 results to be modestly above $1.45 per diluted share even though our annual 2015 diluted share count will be approximately 19% greater than 2014. Regarding our comment that achieving year-over-year improvements may become more challenging in the second half of 2015, we feel that we might have the opportunity to improve by more than 19% of our 2014 second half net income profitability. However we recognized that 19% year-over-year net income improvement that would result in equal year-over-year second half operating EPS $1.24 for that time period would still be a strong result for our shareholders and a solid building block for continued improvement in future years. Thank you for your time and we’ll now open up the call for any questions.
Operator: Thank you, sir. At this time we’ll open up floor for questions. (Operator Instructions) Our first question comes from Brad Delco from Stephens.
Brad Delco: Good morning Dave, and good morning Joey and good morning Richard. Richard and David, I wanted to talk to you little bit about the first quarter guidance you gave $0.10 to $0.18, clearly a different trend from what we’ve seen historically and I think Richard I just heard you make a comment that your team drivers have grown into the first quarter. How unusual is that and what are you seeing in the market that gives you a lot of confidence be posting that kind of a positive EPS number in this quarter?
Richard Cribbs: Well, I’m going back a little bit last year we lost $0.09 a share and as we did that we kind of made some statements, we had a system implementation at SRT that we felt that cost close to $0.246 a share, we had the worst weather, we’ve had in 20 years or so and don’t expect the same this year and I believe there some kind of charge it was couple of cents a share. And so we were pretty close to breakeven on operating basis in our own minds anyway, in last year first quarter we’ve improved our team count, we’re getting great miles on those trucks still through the first few weeks and as well as the business improvement as SRT being well pass the system implementation and those type of things. And with our rate environment, our cost structure we feel comfortable that we’ve minimized any down side risk by posting that at $0.10 to $0.18.
Brad Delco: And then I know there were some customers that you did a lot of work for them in the fourth quarter and they provided some commitments for the first quarter has that played out as expected?
Richard Cribbs: Mostly it has Brad; the e-commerce part of our business is just growing very dramatically and for two consecutive years. And I would say on a percentage there I am about 60% happy with what the commitments that our customers gave us. But I will say to that 40% that I am not happy with if not that they are not attempting and trying and actually we’ve got another conference call by this time tomorrow about tomorrow afternoon. And so if not that there is a couple of them are not coming to the table, they are just coming a little bit slower than what we wanted. I mean we were driving them crazy on the 2nd of January. And so I do believe sincerely that they will come to the table. So I would say 60% that I am satisfied with it but now I’ll also tell you 12 months ago that 60% was zero. I mean it was not even a question, I mean this year was the first time that we said if we’re doing all this for you all in the fourth quarter what are you going to do for us in the first quarter even if that means taking some of the freight off of rail to give to us. So those kinds of conversations. So are we where we want to be? No. Am I pleased with it? Maybe I could say pleased, I am okay with it. But do I think in the next two to three weeks that it’s going to be there for us? Yes I do.
Brad Delco: And then maybe just one more question if you don’t mind. David when you look out in the fiscal year ‘15, I mean ‘14 was certainly a strong year for you guys with a lot of different metrics, utilization on the trucks, pricing. But if you were to take a step back and just look at the industry as a whole, what do you think from just a market perspective that shippers are willing to accept as we enter bid season? I mean what do you think the pricing range will be for fiscal year ‘15?
David Parker: I think that number is probably 4% to 6%, if I was just doing darts right now; I mean we’re just now into the marketplace and we’re just -- we’re just now starting to hit it. I will say that we’ve gotten bulk of those numbers, those numbers I just mentioned, we’ve gotten bulk of those numbers from customers. So, I do believe it's going to be in that 4% to 6% hours as you know it’s kind of -- April, May kind of timeframe we start kind of a lot of our counts come up in that April, May time period, so we start getting a more solid number what we think it's going to be around that time.
Operator: Thank you. Our next question comes from Jason Seidl from Cowen and Company.
Jason Seidl: Well first of all congratulations on an impressive quarter and year. Wanted to sort of just jump into the e-commerce side of things. Obviously much more positives than concerns for you guys, you're going to be a little bit I think conservative it seems like for the back half for the year. Is that just because you're not going to be able to predict sort of the consumer and the growth rates that you had? I am just trying to get my hands around.
David Parker: Yes, you hit it exactly correct. I mean first of all this e-commerce has really the last two years, last year and then this year is when we have seen it personally explode on the expedited side of our business. And I know standing there 12 months ago before peak, we were saying one year doesn’t make a change and this year saying the two years make a change and you got to believe that e-commerce is kind of saying maybe it does but we’re just scared after two years to say that its definite. We have one of our e-commerce customers that we do a lot of business with that their projections to us and while we’re going to service for them was much greater than what their projections were, what we actually be at. And our conversation that had with them, why was that is that they have one particular customer that he said, the e-commerce side of our business instead of a bunch of cell phones or little gadgets, he said one of largest customer shipped more trampolines than I’ve ever seen anybody ever ship, and it was just flooding how many trailers are needed. So as we get into this e-commerce that’s what scares me is that that piece of business I just give you an example it could have been down, not down, but it could be 20% less than what it actually was but off sudden they’ve started selling bunch of trampolines instead of telephones.
Jason Seidl: So that gives new meaning to where your e-commerce business really jumped I guess.
David Parker: Yes, you’re exactly correct, yes and it did. So I don’t know how you, kind of go to third year in my opinion, I go next year and it’s the same as this year then I do think that we’re all getting our hands around e-commerce. So I know you all as analysts, you all have no idea why to do it either. And so we together I think are going to find out in the next year, I got to believe if we do the same thing in the third year with e-commerce we got to say that it’s kind of showing up what it is.
Richard Cribbs: I think e-commerce had a lot, it is still 15% to 20% revenue numbers probably over last year, and we are seeing e-commerce grow, trampoline was one example, appliances was another that we were given that these large ticket items are actually moving e-commerce or omni-channel now that previously wasn’t that, it was apparel and game boxes and videos and stuff like that. So we’re seeing the larger items also get move through e-commerce which goes back to still meeting that very tight time shipments, very time sensitive delivery which is where we play so well with our expedited group.
Jason Seidl: And I guess that would sort of go back to why you guys I guess are a little bit conservative to the back half of the year, because when I take your $1.45 and then look at the differential that your mid-point indicates for 1Q. I mean that’s still a decent number right there that would imply that you are being conservative about not only the back half of the year but potentially 2Q as well. Am I correct in assuming that?
Richard Cribbs: Well, I think 2Q we’ll still see some nice improvement. It’s really the back half that we’re being more conservative with and that term modest, I have been asked many times since yesterday what modest means? I think you can say lower end of that might be 10% but it could be 20% to 25%, we don’t know about -- we just don’t have enough visibility in that second half of the year especially around e-commerce and omni-channel. On one side you still expect e-commerce and omni-channel to grow another 12% to 20% next year, but how efficient does the distribution network get? Does it get more efficient to the point that we’re doing the same amount we’re doing this year not more? Those kind of questions we just don’t have good visibility until we start planning for it in August and September of this year.
Jason Seidl: Well, after almost growing earnings four times in the fourth quarter, I guess a modest is relative term how you look at it.
Operator: Thank you. Our next question comes from Donald Broughton from Avondale Partners.
Donald Broughton: I just have one quick question. I’m trying to sit here and think about this model about, ever in history I’ve never seen somebody post more than $4,000 of revenue per truck per week not including fuel. You guys put 4,300 on the board, normally company gets to $3,500, $3,600 of revenue per truck per week they’re doing well. I understand you have a strong team demand in the fourth quarter, on a go forward basis certainly you’ve run your team fleets a little bit, you’ve broaden your team fleet a bit, more than little bit. What’s the ongoing run rate that I have to be looking at from our revenue per truck per week kind of a number?
David Parker: Well I think our goal this year, I think we fished the year somewhere in the 3,700 to 3,800 maybe 3760, range and our goal this year would be to increase that at least $4,000 a truck across the full year, of course that will vary quite a bit between the four quarters.
Donald Broughton: There will be some seasonality to it. But do you think you can get to $4,000 of revenue per truck per week on all in basis for the full year?
David Parker: We do.
Operator: Thank you. (Operator Instructions). Our next question comes from Tom Albrecht from BB&T.
Tom Albrecht: Richard I was wondering how much variance in the operating ratios there was between companies, Covenant Transport, SRT and Star? I am assuming they all hit it out in part. But with an 852, can you kind of talk about the range of ORs amongst those three divisions?
Richard Cribbs: And that’s not exactly right, Star and Covenant were especially strong and SRT continued to improve over there. The last year results that maybe not to the same level that the other two did. So SRT still did not reach below 90 OR in the fourth quarter. They were somewhat north of that and the other two were well below that. So there was a little variance between the three, but we expect SRT to continue to improve. We expect them to improve more year-over-year in 2015 than the other subsidiaries after getting through the difficult transition of the implementation this year and picking up especially in the last half of the year back to been running much closer to their historical numbers. So, we expect a big improvement year-over-year from them.
David Parker: Yes, we’ve made a lot of headwind in SRT in the last 12 months and they have done a very good job and Richard is exactly right, we think there is some nice improvement that we’ll be seeing and continue to see on that SRT company in 2015.
Tom Albrecht: How close to 80 did the Covenant expedited division get to in the fourth quarter?
David Parker: You would have liked it.
Tom Albrecht: That’s what I like to hear. And then for a long time you struggled to maintain teams, like sort of gradually shrunk year-after-year. But over the last year you’ve really changed that. What’s the single biggest factor, we know demand has been good, but what do you believe has been the two or three most important factors behind being able to grow your team fleet again? And then coinciding with that, what’s the mix of sort of husband-wife spouse significant other combinations that you’ve got in there?
David Parker: Well, a couple of things as I look at across all the industry they did some changes in the recruiting area that the folks are doing a great job on the person on the Covenant side that they put in place there with new ideas and new thoughts and those kind of things that are doing a great job, you cannot say that driver pay is number one. And so that helped tremendously and then people in the recruiting department have done a great job. They’ve made different things in the operations and the fleet side that has allowed drivers to stay longer, and all three companies, asset companies are just working very diligently on that on where they’re spending the money and they are doing a lot of fancy stuff, a lot of new creative stuff on reaching out there to get drivers Tom. So all those are the reasons and I would say on top on that it has been a tremendous amount of prayer that has gone into recruiting drivers from our employees.
David Parker: The driver pay increases, we target it more towards the team area which means there is a bigger differential between team and solo pays than we’ve ever had. So bringing them in the door, they’re more willing to team up for that nice delta of pay. And then I think the biggest thing or one of the biggest things also is you said it the amount of miles that we’re putting on the truck is phenomenal and drivers hate sitting. And so professional drivers, if they’re moving they are pretty happy as long as they are moving and we’re not having them sit, when they have hours available. So, we’re really doing a good job in operations through optimizing the miles that they can get out of the hours that they have been made available.
Tom Albrecht: And then do you have a sense how many of your teams are basically couples whether they are married or not just as oppose to two strangers come together and drive?
David Parker: Much lower than it used to be, back in the late 90s in early part of this decade or century we had a much larger percentage of those type drivers that were call it family or couples or what have you and that number is much lower now. So now we depend a little more on some matched up, now I can’t use that term I was told. Anyway making them up with our own dynamics and metrics in order to try to match them up to make sure that they can stay together and that they are going to be happy together in the truck.
Richard Cribbs: If we were going to build wild guess out there because we don’t have this number readily available, but I would say it's 20% people they are coming in and 80% of us creating them. It's much hard, that is quite hard to get teams, that’s why it’s hard to duplicate the team side right wrong or different, good times or bad times the team side of our business, it’s very difficult for competitors to compete against that.
Tom Albrecht: And then last question I know there is a lot of seasonal rates built into the fourth quarter you’re $1.946. How much seasonality should we draw down $0.15 a mile in the first quarter? Any thoughts there Richard? I mean I feel like a lot of us are kind of finger in the wind on some of these trends because that have been so amazing.
Richard Cribbs: We’ve historically been closer to the third quarter number is closer to the first quarter number. So that’s necessarily the best proxy right now but I’ll say versus trying to take four quarter with all the peak rates that we get put in place, that’s not a good proxy for first quarter.
Operator: Thank you. Our next question comes from Scott Group of Wolfe Research.
Reena Krishnan: This is actually Reena Krishnan sitting in for Scott Group. Two questions, one, David I think you made a comment that you’re talking to customers about potentially moving some freights from rail to truck or helping out basically given what you did for them in the fourth quarter. Just wanted to get a sense if you could provide some commentary on the reception you’re getting from customers or shippers about doing that in terms of taking some freight off the rail and putting on truck or keeping freight off of rail and keeping it on truck.
David Parker: Whether it’s actually coming up off rail to go on truck, I don’t know that answer. I can’t say that, as I said with hundred of them being doing exactly what we would have wanted them to do in the first quarter. I said we’re kind at the 60%, which I kind of say it’s just the path above being happy, I am happy with it but it can do much better. But that said I don’t know that they have taken anything off of the rail to put on it or if they’ve taken it from other carriers, there is no doubt that a lot of the fourth quarter customers on the retail side of the world that their business definitely goes down in the first quarter. So if our business with them is up, it came from either carriers or rail, I just know that our discussions with them all of last year about that this was discuss that if you got to take it off of rail then that they would do that. I don’t know so that they have actually done that.
Reena Krishnan: Do you feel that given what’s happening with West Coast ports and conjunction issues et cetera, that maybe some of that was extended into January our could extend into January just as you’re talking with some of the retail customers.
David Parker: Yes, it sounds like a port problem.
Reena Krishnan: Yes, exactly. How did impacted you and what you’re seeing I guess in January?
David Parker: Number one as Richard said at the beginning we’re happy with the first three weeks of January. But I can see the port congestion as we all of us on this phone we’re talking about ports out in California in particular and West Coast in particular LA. In the fourth quarter we did feel it, we did sense that there was so much freight that was coming off there even if three weeks of getting up to that, we had more freight than we knew what to do with. And so now here it is in January at freight typically slows down, we are feeling the problem on the cargo out in California, some customers containers are sitting from one month, a week ago I heard one of our customer say that they’ve had a container since December 5th, and those kind of things. I will say though that we got one large customer that we do a lot of business with that is in a process of unloading about a 100 containers. So I don’t know like this we can. So I don’t know if it’s starting to free up, but it has been the first three weeks of January we’ve seen it out of LA and we just call it extra deadhead, it calls going and doing some lower price freight, a couple of things in order to move our trucks out of Latin America. So we have seen in the month of January.
Reena Krishnan: And just one more thing on e-commerce side, I know you guys answer a lot of questions on this. But I guess another way to kind of get a sense of where we are with your large customers and where they are in terms of trying to build up their e-commerce business. I guess where do you feel they are in that stage and how that could impact you? And maybe bringing other carriers that also are looking at this as an opportunity going forward as this channel continues to grow.
David Parker: Randomly on top of my head, it’s one of the concern and trying to be moderate on what two years don’t make a career, it doesn’t make a train and I don’t think what we’re experiencing and trying to learn about e-commerce is any different than all of the analysts on the phone, you’re also trying to learn what this new phenomenon, and we’re all trying to figure out how that comes into play in transportation. So we’re just not there yet from that standpoint. Now does that mean that our competitors? Yes they are there now; I mean there is more e-commerce than there is Covenant in the CTG. And we just got one of the largest team fleets that there is, so when it comes to true expedited freight I don’t care if the load is going 1,000 miles, 2,000 miles or 750 miles, they are going to have a team on it when it’s December 20th, and it's got to be delivered. And so we’re the largest areas among most of our competitors couple of bigger ones than us. So it's right, and so the question is that can everybody figure out the team concept, if they can there will be a bigger competitor against us. But to be honest with you they haven’t figured out in 30 years that I have been in the business. So maybe they figured out, maybe they don’t, so I don’t know.
Richard Cribbs: And that time sensitive freight is so much more year around now than it ever has been with Amazon Prime of the world and other companies offering the same two-day shipments then it's going to be for one BC across the country to another, it’s got to move fast and it's got to move within the hours of service that are available to teams. And so it's really a year around growth that we’re seeing, of course peak just gets, but it's year around that we’re seeing a lot of these opportunities. And I think those will continue to grow as the consumer demands there hard and faster and doesn’t necessarily go to the store to get them.
Operator: Thank you. Our next question comes from Todd Fowler from KeyBanc Capital Market.
Todd Fowler: David, I guess I just wanted to ask Richard if you have any comments and what you're seeing in the driver market right now. I know that you guys have done a lot of work on changing some things in the compensation not just pure dollar amounts but things related to the drivers which has helped you grow your fleet but kind of what you're with driver availability? And then what would your expectations be for wage inflation on the driver side into ‘15?
Joey Hogan: Hey, Todd, this is Joey. The driver market nothing has really changed as far as what everybody is being talking about over last year, still the most difficult, most competitive that we’ve ever seen. And so I don’t see that slowing up any at all, and I think it's just going to be extremely competitive with the all market what’s going on there? Does that somehow push up the drivers back into the truck load side? We’re already starting to see a little of that maybe. Is it going to be material? I think it's little bit too early to say, that could be a little relief. There is service change with a restart provision change. Does that provide a little relief capacity wise, I think is it material yet? 2% material in our segment. So, I think that, that may help a little bit. But it's still exceptionally competitive. We’ve got to find a way in the industry to get more new entries in the marketplace and there is a lot of discussion going on around somehow reaching to young folks below that 21 year old age ATA is talking about it. Schools are talking about things of that nature, that’s a long run way I think before that ever produces anything. As far as wage side of that, I think it's going to be at least what it was last year plus up, it's a minimum of 5%, I think it's probably going to be close to 10% tap movement with wages for the industry. I think anything that we’re doing in particular; I mean David has already mentioned several of those without getting into detail. If we do any one particular item was the silver bullet, we would be doing that over the next year, but we can’t because of such a fluid market and it moves quarter-to-quarter and year-to-year based on much different dynamics. And I just believe what David said, they framed it really good from lot of things we’ve been working on over the years in our recruiting area, retention area and then freight. And I think freight is just as impactful. And we’re seeing some things, all three of those when they work really, really well together that can be extremely impactful. We battle in our network, we have in our dedicated fleet, we can sell very consistent regular on time and short on time periods, our expedited fleet that’s hard to sell. But if you make it worth a while, and then when you do need to get home, you get them home that means a lot. So, it's just lot of things and I mean we’re excited about what we’ve seen over the last six months is I think we’ve grown by 130 seated trucks or so over the last 6.5 months, and off those 120 of those are teams. And we still see a lot of momentum there, and so we’ve got a pretty hefty goal internally, it’s not what I was thinking external but we have hefty goal internally that we’re cautiously optimistic if we keep doing what we’ve been doing for last couple of years, I am not going to say six months phenomena. The last couple of years on expedited side I think we’ll be able to continue to grow our teams in 2015.
Todd Fowler: If you did had that several bullet I would so just not mentioning it on the call, because all of your competitor. So just a couple of last quick ones. Richard what is the expectation for a net CapEx number into 2015? And then what would you be thinking about from a fleet standpoint related to that? And then lastly, what percent of the fleet currently is unseated? That’s what I had.
Richard Cribbs: The last one, the current unseated is around 4.5%, the net CapEx we’re looking at probably between, I’m giving a wide range $55 million to $70 million of net CapEx, that will be on approximately 600 new tractors and probably adding some trailers as well, the bigger trailer increase this year than what we’ve had in past years. And that’s part of the reason that it’s going to be up a little bit. But that will still take our -- I think our tractor age by the end of the first half we’ll continue to decrease a little bit because most of those tractors are being taken in, they’ll put us probably real close to 100% on tractors with the new engines that have the better fuel economy. So we should continue to see improvements on that, as well as additional safety equipment we’re putting on the trucks starting well. We started a 1.5 years ago on roller stability control and in December we started taking trucks with additional front closing mitigation and line departure warning technology that our developers could help our safety. Anyway we should be 100% on those newer engines by the end of June or July and then that slows down a little bit. So the average age will continue to come down and then start creeping back up a little bit by the end of next year.
Joey Hogan: Obviously see these number, remember that when Richard talked about that as well as what he disclosed in the financial statistics that includes wrecks or broke down equipment. So historically we’ve always had to be able to spend 5%, if we can spend 5% that’s a good number, if it gets over that we’ll consider taking the fleet down. But when it gets under that we get real tight, which is where we are right now, we are very, very, very tight on equipment. So just want to make sure that it’s not 5% if the fleet is open today that we can go out drivers and it’s very tight right now.
David Parker: We also have a couple of percent that are in wrecks and major repair items.
Todd Fowler: Sure that makes sense, so it’s not that 4.5% and the trucks are actually road ready, it’s something less than that at this point?
David Parker: That’s right.
Operator: Thank you. Our next question comes from Nick Farwell from Arbor Group.
Nick Farwell: I just have a follow up question earlier on the West Coast striking the implications. In what ways have the dock slow down impacted cargo traffic patterns? For instance has it shifted some -- can’t imagine it hasn’t, cargo off of rail on the truck and has it pushed any traffic into Texas or the East Coast?
David Parker: Nick I’ll tell you those are all great questions, because keep in mind that we came out of the fourth quarter with these things happening out on the West Coast but because that the demand was so high out there that we virtually didn’t feel any of it. Our customer may have been two weeks or three weeks getting a container but it was so much volume that it did matter that tell us two or three weeks they were loading our trucks anyway. And we just started sensing it in the first quarter. And kind of what we’ve heard from some customers we have not seen a shift in destinations we’re still going all over the country that we go to. So I mean we’re still percentage wise our lines are still just as the same percentage as it has always been. So I am not seeing shift on that, we have had some customers that in December they’re starting rallying them around LA and start to come into Charleston and Savannah, I did see that on some of the retail customers that at the same time they’re now starting to shift some of it back to LA. Now I don’t know if that means its gotten better again I don’t know how bad it was in forward besides just hearing about it. But now they’ve kind of divided some of it in half, half of them come into Charleston half of them come into LA and for a while it was all coming to Charleston. So I just don’t know we have not seen destinations change but we’re seeing the issue out there live and well for the customers. And in the ports in LA they better get their act together or they’re getting ready to hurt their little party.
Nick Farwell: Right, and so is it your sense as anything that’s sort of sustainable beyond just an initial whenever it happens, resolution that changes your business either lanes or freight patterns?
David Parker: The greatest thing that we ever did Nick if you remember, say four years ago it get started going heavier into the produce business if you remember.
Nick Farwell: I do.
David Parker: And it’s one of that best strategic decisions that we’ve ever made because we’re not as dependent out on the West Coast, container getting off of the yard, off of port. And because our produce that we haul versus our dry van that haul is about a fifty-fifty percentage wise. And actually we’re probably going to take that even up a little bit more maybe 55-45, and that really eliminates a lot of the pressure that’s strictly dry side has on the equation. So the best thing would be and then we’re going to continue doing that. So, I mean do we feel it? Yes we have felt it in January on our drive side because we’ve had the deadhead to Salt Lake and deadhead to Phoenix and deadhead to Al Paso and bring some trucks out of there probably 30 or 40 a week kind of number that we’ve brought out of there, that it's not good. Now that said, every time our customers that we meet with them and they try Charleston and try Savannah. If LA ever gets their act together they’re very quick about it seems to me about going back out there because of just in time inventories that they have got, they want just freight. So, commonsense tells me LA better get it straight and out, but the other side of it is that it seems like the shipper ends up going straight back to out there as soon as they can.
Nick Farwell: So another slightly different approach, has it changed the competitive environment? I am talking long haul specifically now. Have you seen any major change in the long haul team or otherwise competitive profile, probably a decade longer that this business as the long haul is consolidated in a general sense? Then all of a sudden you get a huge increase in demand over the last year or so. I am just curious to what degree that’s changed in a competitive environment for the long haul segment of the trucking business?
David Parker: I mean Joey…
Joey Hogan: I think Nick we’ve seen it, if you go back in the 90s any significant shift in freight patterns or logistics network or economy we’ve seen always people, we’re seeing regional carriers want to get in and add a few teams when the economy is moving up. And then the sustainability of that kind of quickly drips away. And so I think the difference here is, I think we have a monumental frankly shift in freight patterns and buying patterns from the consumer that we’re in the early stages and we’ve talked about it lot on call. But the whole shift of e-commerce and what does that mean. And so it's interesting though that’s kind of really began to -- you really go to Amazon and I don’t mean to be disrespectful to any of our customers, it’s really Amazon and everybody else right now. And you get this big circle and wagons of everybody else. And everybody else is responding, so what does that mean into the marketplace and I think that’s further opportunity for expedited fleets. Now we’re seeing in lot of new competition of size on the expedited side, I think we are its moved primarily still the main ones that we’ve kind of competed with overtime. And so will it change? I mean successful results creates competition. And so I am not denying to say that some people may not try to grow it, started and things of that mature. I think the main question is where do you feel the runway of e-commerce change is? And I think that’s a generational issue from and it's a generational. Our children that buy significantly online, our generation a little bit, my parents generation hardly any. So that contains to age what happens and when you push the button you want it in no more than five days, you prefer to. And what does that mean through the system regardless of where it comes from. And so it’s really interesting a lot of our customers other than Amazon/the express folks are really studying, and talking, and planning and our sales force has done a good job keeping near to the ground relative to those plans.
Nick Farwell: So basically what I think I hear you saying Joey is that you have the same major competitors as the business -- as the long haul business is consolidated. So the incremental capacity is all the same competitors adding trucks as oppose to new entrants, by enlarge as it grows generally, so far?
Joey Hogan: I think so far that’s the key question, so far.
Operator: Thank you. (Operator Instructions).
End of Q&A:
A - Richard Cribbs: Thanks everybody. We’ll look forward to talking to you next quarter.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. You may now disconnect.